Operator: Hello, and thank you for standing by. At this time, I would like to welcome you to the Lindblad Expeditions Holdings, Inc. Reports 2025 First Quarter Financial Results. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Rick Goldberg, Chief Financial Officer. Please go ahead. Please go ahead.
Rick Goldberg: Thank you, operator. Good morning, everyone, and thank you for joining us for Lindblad's 2025 first quarter earnings call. With me on the call today is Natalya Leahy, our Chief Executive Officer. Natalya will begin with some opening comments, and I'll follow with details on our financial results and 2025 expectations before we open the call for Q&A. As always, you can find our latest earnings release in the Investor Relations section of our website. But before we get to all of that, I'd like to remind everyone that the company's comments today may include forward-looking statements. Those expectations are subject to risks and uncertainties that may cause actual results and performance to be materially different from these expectations. The company cannot guarantee the accuracy of any forecast or estimates and we undertake no obligation to update any such forward-looking statements. If you would like more information on the risks involved in forward-looking statements, please see the company's SEC filings. In addition, our comments may reference non-GAAP financial measures. A reconciliation of the most directly comparable GAAP financial measures and other associated disclosures are contained in the company's earnings release. With that out of the way, I'll turn the call over to Natalya.
Natalya Leahy: Good morning, everyone, and thank you for joining us on this earnings call. Today, I'm pleased to share what I believe are excellent quarter one results. I could not be prouder of our team because our efforts focused on revenue management and operational excellence resulted in continued momentum in our business. For the quarter, revenues increased 17% with Lindblad Expeditions segment generating 11% growth. Revenues in our Land segment increased 38%. Adjusted EBITDA increased 39% with margins improving 260 basis points. I'm very happy to report that occupancy increased 14 points to 89% compared to 76% in the prior year. The efforts and initiatives that we have put in place to drive occupancy perform in line with our expectations, And I am confident that we are on the path to return to pre-pandemic occupancy levels in 2026. We completed the 2025 wave season on a high note with record bookings, and bookings for 2025 and 2026 are tracking ahead of prior year in both segments. Net yields increased 25% to $1,521, the highest quarterly net yield in the company's history. Growth was driven by increases in occupancy and pricing due to dynamic revenue management and demand-generation initiatives. This historical yield results are particularly impressive, given that Lindblad increased capacity in the Expedition segment by 49% since 2019. With this result, we have set a powerful term for the year. As we navigate the complex macroeconomic environment, we remain optimistic that our guests will continue to prioritize meaningful experiences. While we are not immune to economic volatility, we believe our company is well positioned because we offer experiential travel that appeals to a demographic with high disposable income. Our focus will stay on the elements within our control, delivering exceptional adventure experiences, optimizing revenue and innovating around cost efficiencies while investing in long-term growth. Talking about long-term growth. On our last earnings call, I shared with you three strategic pillars that will drive value creation for our shareholders. Number one, maximizing revenue generation through higher occupancy, pricing and deployment profitability, both in the Lindblad and Land segments. Number two, optimizing financial performance through smart cost innovations and better fixed asset utilization. Number three, exploring and capitalizing on accretive growth opportunities, including fleet expansion charters, as well as potential additions to our brand portfolio. I'm encouraged by our progress across all these areas. Let me share more detail on how we're continuing to execute against these strategic pillars. First, as a continued focus on optimizing occupancy, we successfully piloted an onboard cruise sales program, while our guests are onboard our expeditions and having a wonderful experience, our dedicated onboard expedition experts helps them to explore our various destinations and plan and book their next venture. During this pilot, we were able to drive early bookings, increased occupancy and improved repeat rate and loyalty, generating a high return on investments for us. This program will be fully rolled out by the end of this year. Moving on to our Disney partnership. We continue to build on the momentum of our Disney activations. We're driving targeted direct mail and marketing campaigns. Recently, I, along with our sales team, met today with the 15th largest travel partners for Disney to discuss our brand and our strategic initiatives. Of these travel partners, only two have previously worked with us, creating a significant opportunity to expand our reach with these highly productive producers. We are only beginning to capitalize on the many opportunities that we have in front of us with this partnership, which will increase our exposure to a new audience. International expansion continues to be a focus for us. And I just returned from the UK, where we hosted the brand introduction went onboard the National Geographic Endurance, one of the most advanced and luxuries purpose-built expedition ships in the world. The UK represents a very attractive market for us, given its fast-growing adventure travel segment and large addressable market. Over 50 prominent travel and media partners, including representatives from the Daily Mail, Sunday Times, The Telegraph and others; joined our event, where we gave a comprehensive overview of our brand and the commercial strategy. Event attendees also had a chance to get experience and taste of our onboard culture and ship amenities. The event was very well received and we are confident that combined with our focused efforts and disciplined investments, we'll ignite growth in this market. Moving on to productivity improvements, we continue to make progress on cost innovation and fixed assets utilization initiatives, which drove operating expense leverage in the quarter. Additionally, by optimizing our dry dock planning cycle, we are pleased to announce the addition of three new voyages in 2026. Next, we continue to focus on accretive cross initiatives. I am delighted that we just announced that National Geographic Expeditions will introduce European river experience through a long-term partnership with Strassen Cruises, who will provide a brand new ship for our debut in European rivers in April of 2026. This experience is something that our guests have long desired and will deeply enjoy by exploring Europe's storage rivers in a truly meaningful way. We know that how you see it matters and that is why we have curated this river voyage with the same depth of care and expertise that defines all our expeditions we will have national geographic historians naturalists coupled with exclusive events that will go into each journey. As we continue to build progress around our strategic pillars, we are also enhancing our financial transparency practices for our investors. We're introducing net yield expectations for 2025. We expect net yield growth of 7% to 10% for the full year, and Rick will be providing more details on our yield expectations in his comments. Before I conclude, I want to reiterate our long-standing commitment to sustainability, which is the heart of Lindblad's mission. I will continue to share updates in this area because it showcases not only our commitment to responsible exploration but also highlights our unique experiential proposition. This commitment often translates into an incredible special and differentiated Lindblad experience for our guests. Let me share just a couple of many amazing initiatives. We recently completed our latest artisan training program, collaborating with Indian work-life artists Niharika Rajput, who is also National Geographic explorer. She hosted a week-long artisan workshop in the Galápagos community to produce wildlife-inspired art from recycled material, giving artisans we've supported for many years, new skills and techniques. We are proud that our program positively impacts communities by supporting local artisans and is funded through contributions from our onboard retail sales. We also welcomed our 17th cohort of Grosvenor Teacher Fellowship, where 35 educators will embark on expeditions to some of the most unique places in the world. where they will learn from immersive field-based experiences and then share their knowledge back with best students in schools. In conclusion, we are pleased with our quarterly performance and the progress we are making against our strategic priorities to create value for shareholders. I repeat we will remain focused on what we can control, delivering exceptional adventure experiences, optimizing revenue, innovating around cost efficiency and investing in long-term growth. With this approach, we are confident that we will delight our guests and shareholders alike. Thank you for your time today. And I will hand it over to Rick to provide details on our first quarter financial performance.
Rick Goldberg: Thank you, Natalya. Lindblad's first quarter performance has the company well positioned to deliver another year of record financial results as we continue to expand our fleet, drive occupancy and net yield growth and grow our portfolio of land experience businesses. In January, we closed our previously announced purchase of two expedition vessels, the National Geographic Gemini and the National Geographic Delfina, which are both now sailing in the Galápagos. Now I would like to review our first quarter results Total company revenue for Q1 2025 was $180 million, an increase of $26 million or 17% versus Q1 2024. Lindblad segment revenues were $131 million, an increase of $13 million or 11% compared to prior year. As mentioned during our last call, available guest nights were down 12%, driven by the timing of dry docks and repositioning. However, occupancy increased 13 percentage points from 76% to 89% and net yield per available guest night increased 25% to 1,521, the highest in company history. Land experiences revenues were $49 million, an increase of $13 million, or 38% compared to Q1 2024, driven by increased trips, higher revenue per guest and the inclusion of Wineland-Thomson Adventures, an adventure travel group that primarily operates African Safaris, which was acquired in July 2024. Q1 2025 adjusted EBITDA was $30 million, an increase of $8.4 million, or 39% versus the prior year. This was driven by a $5.8 million, or 29% increase at the Lindblad segment and a $2.5 million or 223% increase at the Land Experiences segment. Looking closer at the cost side of our business, I'm pleased to report that we delivered margin improvement this quarter. Operating expenses before depreciation and amortization, interest and taxes; increased $17.7 million, or 13.4% versus Q1 2024. Cost of tours increased $8.4 million, or 9.9%, driven by operating additional land trips and the inclusion of Thompson Group. Fuel costs were 5.6% of Lindblad segment revenue, which is down 180 basis points versus a year ago. Sales and marketing costs increased $5.5 million, or 24.1%, primarily due to investments in demand-generation efforts, including building our sales team and expanding into key international markets as well as higher royalties associated with our new agreement with National Geographic. General and administrative costs excluding stock-based compensation, transaction-related expenses and legal settlements; increased $3.8 million or 15.5% versus a year ago, driven by higher personnel costs. One of our key strategic pillars is cost innovation. Our goal is to expand margins while maintaining the guest experience and our commitment to safety. We've recently kicked off a number of efforts, including supply chain and procurement, crew planning and travel and dry dock optimization; designed to increase margins over the long-term. While early, we are realizing some benefits from our efforts already, as Natalya noted, we're adding three additional voyages in 2026 due to our dry dock optimization efforts. Total company net income improved $5.2 million to $1 million, and income available to stockholders was roughly breakeven or $0.00 per diluted share. This reflects the significant improvement in operations. As part of our efforts to better align our financial reporting with the underlying economics of the business, we have reclassified credit card processing fees from general and administrative expenses to cost of tours. Since these fees are directly tied to guest bookings, we believe this change more accurately reflects the true cost of delivering our services and improve the comparability of our gross margin to industry peers. This reclassification has no impact on operating income, EBITDA or net income, but it will result in slightly higher reported cost of tours and lower general and administrative expenses going forward. For comparability, we have also adjusted prior periods to reflect this change. Turning to the balance sheet, we ended the quarter with total cash of $235.2 million, an increase of $19.1 million versus the end of 2024. The increase reflects $48.4 million in cash from operations due primarily to the results of the business and increased bookings for future travel. We used $29 million of cash for investing activities, which reflects $15.6 million using the addition of the new Galapagos vessels and the increase in dry dock days. Despite an increase in CapEx in the quarter, we generated healthy free cash flow. As Natalya shared earlier, the company will continue to explore accretive growth opportunities, including expanding our fleet and further diversifying our portfolio of land experience brands to capitalize on continued growth in the demand for adventure travel. Turning to full-year guidance. Despite the recent macroeconomic turbulence, we remain cautiously optimistic as booking curves remain ahead of prior year for 2025 and 2026 for both our Lindblad and Land Experience segments. Therefore, we are reaffirming total company tour revenue between $700 million and $750 million and adjusted EBITDA between $100 million and $112 million. We are introducing net yield expectations for the first time this quarter. By offering this guidance, we aim to help investors better understand how we are managing occupancy, pricing and onboard revenue growth. For 2025, we expect net yield per available guest night to increase 7% to 10% versus the prior year. To provide further context, at the midpoint of that range, estimated 2025 net yields are expected to increase 21% compared to 2019 levels, despite a 49% increase in capacity, which is one of the highest capacity growth rates among cruise lines over this period. This combination of yield improvement with significant capacity growth demonstrates the strength of our business model and the robust demand for our offerings. With that, we thank you for your interest in Lindblad Expeditions. Natalya and I would be happy to answer any questions you may have.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Steve Wieczynski from Stifel. Please go ahead.
Steven Wieczynski: Hi guys, good morning. So Natalya or Rick, guess I'm surprised as to see how strong occupancy was in the quarter. Natalya gave some commentary in her prepared remarks in terms of what drove that. But we thought the occupancy lift would be more of a 2026 story. And so I guess I'm a little bit surprised it moved so quickly. And it doesn't seem like there was discounting going on to drive occupancy, given how strong yields were. So, was that -- was the move there somewhat related to the Disney partnership? Or is it just something else that we're not really thinking about? And then maybe how we should think about occupancy for the remainder of the year?
Natalya Leahy: Hi Steve, good to hear from you. Thanks for lining up to answer your question or ask you a question first. I think that's combination of multiple factors. One is our expanded audience, and that is directly related to Disney relationships, but as well as related to the fact that we are driving our charter businesses, group businesses, and a stronger revenue management strategy and a dynamic pricing. That all will remain true for the rest of the year, and we'll continue to invest in those areas as we build towards 2020. We also did see the fluctuation in our drydocks. As you've seen, our quarter one had a little bit less capacity than a year ago, all that contributed to the occupancy factor in Q1.
Steven Wieczynski: Okay. Got you. And then I want to ask about the current booking environment, given all the macro noise that that's out in the marketplace at this point. Wondering what your -- maybe give us a little bit more color in terms of what your bookings have looked like over the -- whether it's the last month, over the last couple of weeks, has there's been any softness, any change in demand patterns? And then maybe also kind of help us understand where you're booked for 2026 versus the same point in time last year. And then, Rick, I don't know if you can help us think about cadence for the rest of the year In terms of yields because your implied yield growth after the first quarter does show a little bit of deceleration over the last three quarters. So, just trying to get a little bit more color there as well. Thanks.
Natalya Leahy: Thank you, Steve. Well, let me start and Rick will add a little more color on kind of yield between the quarters. So, first of all, I stressed in my remarks, and I'll just repeat, our 2025 and 2026 bookings remain ahead of prior year across both segments. And I am pleased to see that we built quite a bit of a buffer in both years, based on our efforts. We are, like everyone else, very much watching and navigating through this complex macroeconomic environment. April bookings have been less consistent than bookings prior to that. And so we're watching that. Also, we are seeing positive momentum in the last couple of weeks. Our guidance does incorporate changes in our drydocks and occupancy as well as anticipation of macroeconomic challenges, but I will let Rick comment a little bit more on that.
Rick Goldberg: Yes. In terms of the net yield guidance, we feel really good about 7% to 10% growth for the year. And looking at that, that's a combination of the success of our demand generation activities, along with our capacity growth as we guided to 1.5% growth in our available guest nights for the year. And as Natalya mentioned earlier, we were down 12% in terms of capacity in Q1, which helped -- was one of the factors that helped drive the net yield growth and the occupancy growth in the quarter.
Operator: Our next question comes from David Hargreaves from Barclays. Please go ahead.
David Hargreaves: First of all, great quarter. Following up on that question, how did the adjustments in capacity impact the yields? Was it that you had some lower capacity out of commission? Or I'm just trying to think in terms of mix, what was the impact there?
Rick Goldberg: Yes. So, in quarter one, just given the fluctuations in the timing of drydocks and re-positionings, we had a little bit lower capacity for the quarter versus for the full year, where we're going to have an increase in capacity year-over-year of 1.5%. And as we had fewer available guest nights that was one of the factors that allowed us to drive the occupancy growth, although our demand-generation activities and our partnership with National Geographic and Disney was another strong factor that helped us drive that occupancy growth inside of the quarter.
David Hargreaves: So where are you right now in terms of what inning are you at in implementing dynamic pricing and continuing to integrate the Land segment business? Thanks.
Natalya Leahy: Yes. So that's a great question. So we have started our dynamic pricing strategy, which also was enabled, I talked about it in the last quarter, by implementation of our new system for bookings management that allows significantly more flexibility to fluctuate pricing based on demand. I think there is a lot more to come, but I'm pleased to see what we are doing. You have seen our promotional cycle. We have developed new programs for onboard sales, for our group incentive programs, for charters. And we made significant progress in that. So I'm very encouraged by the progress in those areas. And then, of course, we are working with new channels and audiences like Disney Channel, and we just had launch of our brands in UK. So we're accounting on significant growth in that market, particularly as we are coming towards 2026.
David Hargreaves: Okay. And you had given us some updates on flights to Antarctica. I guess this is -- we're going into off season now. I haven't been yet. But could you give us any updates on if you're going to continue to increase that program and where you stand in terms of sales?
Natalya Leahy: Well, we -- if you want to go, you should be our booking for 2027 because we are practically sold out for 2026 as well. And think the program is going extremely well. We finished some particular season. So those of you who are not aware on seasonality of that trade, we finished Antarctica season. We had a huge growth both in our yields in fly program, which we launched last December, and it continues to be in very, very high demand; as well as our regular Antarctica product that is operated by two, one of the most advanced ships in the industry, frankly, for polar environment. So we're doing really, really well for both, and we are practically sold out for 2026 on both trends. As we are seeing demand on Fly Cruise increases, we have increased capacity both in 2026 and then subsequently in 2027 of Fly Cruises as well, recognizing high demand.
Operator: [Operator Instructions] There are no further questions at this time. Rick Golberg, I turn the call back over to you.
Rick Goldberg: Just want to thank everyone for your interest in Lindblad Expeditions, and hope you enjoy the rest of your day. Thank you so much.
Operator: This concludes today's meeting. You may now disconnect.